Operator: Ladies and gentlemen, I’d like to welcome you to the IHT Conference Call. [Operator Instructions] I would now like to handover to your host, Heather Woods to begin. Please begin when you’re ready Heather.
Heather Woods: Thanks [Pauline] and good morning everyone. This is Heather Woods, Interim Head of Investor Relations at IHG. I am joined this morning by Richard Solomons, our Chief Executive; and Paul Edgecliffe-Johnson, Chief Financial Officer. Before I hand over to Richard for his introductory remarks and the discussion of our results, I need to remind you that in the following discussion the company may make certain forward-looking statements as defined under U.S. law. Please check this morning's press release and the Company's SEC filings for factors that could lead actual results to differ materially from any such forward-looking statements. I'll now turn the call over to Richard.
Richard Solomons: Thanks, Heather. Good morning. Thanks for joining us today for our first quarter trading and conference call. As Heather said, I’m joined by Paul Edgecliffe-Johnson, our Chief Financial Officer. In a moment Paul will take you through the details of our first quarter results. But first, I wanted to update you on the other announcement that we made this morning that I’ll be retiring from IHG at the end of August stepping down from my role as Chief Executive on June 30 to be succeeded by Keith Barr, our Chief Commercial Officer on July 1. There is never perfect time to make this decision, but the timing feels right for me. I’ve been with IHG for 25 years, 14 of those on the board including the last six as Chief Executive. We’ve achieved a great deal since becoming a standalone company in 2003. The transition to asset-light is complete, marked by the announcement of our yearend results of $400 million special dividend which will be entirely funded through underlying operations and leverage. Winning model is firmly embedded in the business to disciplined application of our strategy we’ve made, considered long-term sustainable investments across our business to build a platform for future growth. We’ve launched new brands, enhanced our existing brands also leading position in China, [leveragely] importance to lifetime relationships with our guests who are the Rewards Club and innovated in the areas of digital marketing and technology. We continue to execute again this winning model at an exciting time for IHG. The acquisition of Kimpton presents a significant opportunity to grow that brand internationally. The first Kimpton in Europe will open this year, and most things strong interest mode as an obligate with cities particularly in Asia. The HolidayInn brand family remains the engine of our business, more than twice the size of its nearest competitor. We continue to evolve these brands to make them relevant to today's guests. The new HolidayInn and HolidayInn Express public space and room designs are delivering up leveraging guest satisfaction and RevPAR and we’re rolling these at a pace. We built the scale business in China with our 300 hotel open and rapidly expanding HolidayInn Express franchise business which should drive accelerated growth into the future. At every 100 million enrolled members, IHG Rewards Club is one of the leading loyalty programs in the industry. You're right, our exclusive member processing initiative is now rolled out globally after its launch in China in the first quarter of this year and our new guest reservation system is on track and on budget. I've worked on these initiatives in partnership with the Executive Committee including Keith Barr who is extremely well placed as Chief Executive designate. Many of you'll know Keith, our Chief Commercial Officer. Keith has 25 years experience in Hospitality Industry and has the scale of experience and leadership to succeed as Chief Executive. He's held senior positions in our America's, Asia, Middle East, and Africa and Greater China regions including leading Greater China for four years. Most recently, he's led the development device chief commercial strategy and been a driving force behind the investment in our new guest reservation system. Over the next few months with a detail plan in place as I choose a transition, my responsibilities to Keith. So, this was also announced, when my 56 since IHG became a standalone business will be my last. I'm confident I'm leaving the business, not only the strong leadership with Keith as Chief Executive and Paul as CFO but also in great shape because our first quarter numbers demonstrates. So, with that I'll hand over to Paul to take you through the results.
Paul Edgecliffe-Johnson: Thanks, Richard. And good morning everyone. I'll begin with some of the key highlights in the period before covering each of our regions in turn and then I'll open up the call to questions. Had a good start to 2017 with net system size growth of 3.4% year-on-year and RevPAR growth 2.7%. Benefitting from the later timing of Easter and some early times of stabilization in U.S. oil producing market. We've strengthened our portfolio in France, finding more than 14,000 rooms or 112 hotels into our pipeline. This is our highest hotel [sign-in] pace for the first quarter in nine years, taking our total pipeline to 232,000 rooms. Our share of the active label industry pipeline is three times our share of open rooms, which means we are set up well for future organic growth. We opened 7000 rooms in the first quarter, which is typically our smallest quarter for opening. These included 2,300 rooms in Greater China, taking our number of open hotels in that region to 300. We've seen progress with our new Chinese franchise plus proposition with our first opening the HolidayInn Express in Shanghai Pudong and our 25th timing since launching the model a year ago. At the same time, we remain focused on removing underperforming hotels from our system. We exited 7000 rooms, 6000 of which were in the Americas. Looking now to our brands. We further established intercontinental hotels and resorts position as the world's largest luxury hotel brand with our [first dining] in Taiwan. We expect to open nine additional intercontinental hotels in 2017, including locations in Singapore, Washington, and Los Angeles. For the HolidayInn brand family, we signed up almost 10,000 rooms or 80 hotels, our best signings rate for nine years. As Richard said, we continue to roll out our new room and public space designs across the estate which have proven very popular with guests and owners. For HolidayInn Open Lobby is now in 52 hotels in Europe with a target of 100 by the end of the year. Our HolidayInn Express new Formula Blue room design in the U.S. is being implemented in over 800 open and pipeline hotels. Building on our fast growing boutique, luxury, and lifestyle portfolio, we opened two Hotel Indigo hotels including a 350 room property in Los Angeles, the largest for the brand in our portfolio. We also opened up fifth Hualuxe in Zhangjiakou, China, actually which is set to host the 2022 Winter Olympics. I'll now move on to talk about the trading performance in our four region. We saw a good RevPAR growth of 2.7% across the group, which included growth in all four regions. A shift in the timing of Easter out of the first quarter, provided a benefit in both the Americas and in Europe which we expect to reverse in quarter two. RevPAR in the Americas grew by 2.2% in the quarter. U.S. industry demand remains at near record heights, and occupancies of almost 65% allowed us to increase U.S. RevPAR by 1.9%. We estimate that the Easter shift has benefitted RevPAR in the quarter by around 1%. As anticipated, the performance drive from oil producing markets where we have a 14% rating relative to the industries 11% reduced in the quarter. With RevPAR up 1% when adjusting to the impact of the Super Bowl in Houston in February. We do however remain cautious about the outlook for these markets given the expected supply growth. Our non-oil producing market in the U.S. grew 1.9% in the quarter. Elsewhere in the region, RevPAR in Mexico grew 10% driven by the weak peso and RevPAR in China grew around 3% driven by growth in [that market]. Moving on now to Europe, where overall RevPAR was up 7% with each of our three priority market, delivering solid growth. We outperformed the UK market, growing RevPAR by almost 8% as record occupancy levels enabled us to increase rate by 5%. In London, RevPAR grew 12% as a result of increased international inbound travel. The provinces continued to show positive mid-single digit RevPAR growth similar to the trends seen in 2016. We estimate that we've [been say just from] a 2% improvement in RevPAR because of the Easter timing shift. In Germany, where we have over 21,000 rooms opener in the pipeline, RevPAR grew 9% helps our favorable trade fair calendar which is not expected to benefit the remainder of 2017. Markets impacted by terror attacks in 2015 and 2016, showed some recovery. France is up 6%, driven by an over 8% improvement in Paris as a result of increased leisure demand. RevPAR in France is now growing for the first time since the first terror attack there in January 2015. Turning now to our Asia, Middle East and Africa regions, where RevPAR trends were very similar to those we experienced in the fourth quarter of 2016. In the Middle East, RevPAR was down 7% due to the ongoing impact of low oil prices and industry wide supply growth increases in some market. Saudi Arabian RevPAR declined 21% in line with the market due to government austerity measures and lower corporate spend. Performance in the rest of the Asia, Middle East and Africa region was strong with RevPAR up 4%. In India, one of our priority market, RevPAR grew 13%. As foreign tourists arrivals continue to increase following the easing of visa conditions. Australasia was up 5%, led by growth in both domestic leisure travel and increasing visitors from Asia. South East Asia was up 2% driven by strong corporate demand in Thailand. Finally, moving to Greater China. Where RevPAR was up almost 4%. Mainland China grew 4.3% as a result of over 5% growth in Tier 1 cities, which benefitted from strong meetings in corporate demands. Hong Kong RevPAR increased almost 2%, driven by strong corporate in transient demand while Macau RevPAR improved over 2%. With a ramp-up of one of our new hotels offsetting ongoing tough underlying trading conditions. Going to summarize. We've had an encouraging first quarter. We continued our trends of improving net system size growth, increasing it by 3.4% year-on-year. We grew RevPAR in all of our market benefitting from a later timing of Easter and improvements in demand in some of those markets which declined last year. Looking ahead, despite the continued economic and political uncertainty in some parts of the world, we remain confident in the outlook for the remainder of 2017. And with that, Richard and I will be happy to take your questions. Well, Hollie, if you could open up the line to questions, please.
Paul Edgecliffe-Johnson: If there are no questions, then we will draw the call to a close. And thank you very much for dialing in. And Richard with say, it's been a great pleasure working with you and we wish you all the best in your future endeavors. Hello, thank you all, and you can disconnect now.
Operator: Ladies and gentlemen, that does conclude today's call. Thank you for joining and have a lovely day.